Operator: Good day and thank you for standing by. Welcome to the Apollo Commercial Real Estate Finance Third Quarter 2021 Earnings Conference Call. At this time, all participants are in listen-only mode.  I'd like to remind everyone that today's call and webcast are being recorded. Please note that they are the property of Apollo Commercial Real Estate Finance Inc and that any unauthorized broadcast in any form is strictly prohibited. Information about the audio replay of this call is available in our earnings press release. I'd also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking statements. Today's conference call and webcast may include forward-looking statements and projections and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these statements and projections. In addition, we will be discussing certain non-GAAP measures on this call, which management believes are relevant to assessing the company's financial performance. These measures are reconciled to GAAP figures in our earnings presentation which is available in the stockholders section of our website. We do not undertake any obligation to update our forward-looking statements or projections, unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.apolloreit.com or call us at 212-515-3200. At this time, I'd like to turn the call over to the company's Chief Executive Officer, Stuart Rothstein.
Stuart Rothstein: Thank you. Good morning and thank you to those of us - those of you who are joining us this morning on the Apollo Commercial Real Estate Finance third quarter earnings call. Joining me this morning are Scott Weiner and Jai Agarwal. As we move towards the end of 2021, we continue to see similar trends from prior quarters in the commercial real estate market. Specifically, the underlying performance of most commercial real estate continues to recover at a measured pace consistent with the recovery in the overall economy. There have been clear property type and geographic winners, as well as those asset types and regions that remain challenged. Ultimately an improving economy should be positive for the commercial real estate industry and asset level metrics should continue to improve. In contrast to operating performance, real estate investment and financing activity recovered sooner and more quickly consistent with the broad and rapid recovery across the capital markets. At presence - at present, the pace of activity continues to accelerate and regardless of the asset class, the combination of a low interest rate environment and significant fund flows is supporting robust transaction volume and a well-funded highly liquid financing market. The commercial real estate lending market has surpassed 2019 levels and is on track for a record year in terms of lending volumes across CMBS, banks, insurance companies and non-bank lenders such as ARI. In the current highly competitive environment, the strength of the Apollo Commercial Real Estate debt platform again has proven to be incredibly beneficial, as we have completed approximately $1.5 billion of new transactions for ARI through the first three quarters of the year. The pipeline continues to be a mix of both US and European transactions for well-positioned, high quality properties with institutional sponsorship in gateway markets. We expect ARI loan origination totals for 2021 will approach pre-pandemic levels as we have already committed to do an additional $340 million of transactions in the fourth quarter and we are working through a number of other transactions that should close by year end. It is worth highlighting that ARI's loan originations year-to-date continue to favor Europe, which is reflective of a combination of the strong reputation and market position our team has developed, slightly less competition and our team's ability to underwrite and structure large transactions. As a result of our success in Europe, loans securing properties in Europe represent approximately 40% of ARI's portfolio at quarter end. To reiterate what I have said previously, the types of transactions, quality of equity sponsorship and deal structures for ARI's European loans are very similar to the transactions we complete in the United States. Our European loan portfolio is diversified by property type and geography and we manage currency risk as we borrow and lend in local currency and use forward contracts to hedge. The strength of the CRE lending market has also led to more normalized repayment activity in our portfolio. Through September 30, we have received almost $800 million of loan repayments and an additional $277 million of loans have repaid since quarter end. Our repayments reflect encouraging signs from the general economy as transitional assets are achieving their business plans including construction projects, achieving certificates of occupancy and for sale residential units being sold. As a result, ARI's construction exposure continues to decline representing approximately only 14% of the portfolio at quarter end. We also have seen positive anecdotes from our portfolio of loans securing office properties, including the repayment of a large Manhattan office loan this quarter, as well as increased leasing activity and foot traffic at our other projects. In general, the credit quality across our portfolio remains stable and we continue to make progress with our focused loans. Before I finish my remarks, I want to take a minute to highlight some recent corporate governance highlights, with respect to our Board of Directors. In the past year, ARI expanded the company's Board of Directors from 8 to 10 members with the addition of Pamela Carlton and Carmencita Whonder. Both women are senior executives and we believe ARI will benefit greatly from their insight and expertise. We continue to recognize the importance of ESG issues to our stakeholders and as a reminder, ARI incorporates consideration of ESG issues into our investment analysis and decision-making processes. Lastly, I wanted to take a moment to thank our CFO, Jai Agarwal who will be leaving us early in the New Year to pursue other opportunities. Jai has made valuable contributions to ARI during his tenure and we will be sorry to see him go. One of his greatest contributions was building a strong team below him and he will leave us in good hands. We have already begun a search for his replacement and we expect his departure will be seamless. And with that, I will turn the call over to Jai for the last time to review our financial results.
Jai Agarwal: Hi Stuart. Our distributable earnings for the quarter were $49 million or $0.35 per share. GAAP net income available to common stockholders was $57 million or $0.38 per diluted share. GAAP book value per share prior to depreciation and the General CECL Reserve increased slightly to $15.54 from $15.48 at the end of last quarter. This increase was primarily due to unrealized gains on currency hedges. The loan portfolio at quarter end was $7.3 billion, a slight decline from the end of previous quarter, due to increased loan repayments. The portfolio had a weighted average unlevered yields of 5.2% in the remaining fully extended term of just under three years. Approximately 89% of our floating rate US loans have LIBOR floors that are in the money today with a weighted average floor of 1.20%. During the quarter, we made $180 million first mortgage, $141 million of which were funded. We also made $113 million of add-on fundings for previously closed loans. With respect to our borrowings, we are in compliance with all covenants and continue to maintain strong liquidity. We increased our secure facility with JP Morgan to 1.5 billion and extended the maturity to September of 2024. We ended the quarter with almost $600 million of total liquidity, which was a combination of cash and capacity on our lines. Our debt to equity ratio at quarter end decreased slightly to 2.2 times, and we ended the quarter with $1.7 billion of unencumbered loan assets. Lastly, I wanted to thank Scott, Stuart, the Board of ARI and most importantly, all my colleagues at Apollo for the support over the last five and half years. I feel very fortunate to have been offered this opportunity and I will truly miss working with this very talented group of individuals. And with that, I'd like to open the line for questions, Operator, please go ahead.
Operator:  Our first question comes from Doug Harter with Credit Suisse.
Doug Harter: Thanks. Stuart, I know it's always tough to read into too much into just a few loans, but it looks like the yield the - on new loans this quarter was significantly lower than prior quarters. Can you just talk about whether those were kind of one-offs or is that kind of where, you see the market for new loan opportunities today?
Stuart Rothstein: I think it's a mix of both, but I think directionally, it's fair to say that spreads are tightening. I think you've heard me say, on previous calls that it's clearly a market that favors the borrower versus the lender and I think, sitting in my seat or Scott sitting in his seat, I don't think any of us are surprised that, things are tighter just given where yield alternatives in general are trading these days. So I'm not sure, I would take what occurred in the quarter and ascribe it as the go-forward returns on a go-forward basis. But I think, it's fair to say that certainly relative to where we sit today versus where we sat two or three years ago, the ROEs achievable by putting dollars out on a call it light basis risk for risk are certainly tighter today than they were two or three years ago.
Scott Weiner: Yes, it's Scott. I would just add, financing costs have also have come in and leverage more available, so we've also found that our financing costs in Europe are more efficient than the US, so that the mix matters. Right. So that's an unlevered yield. But I think when you look at an unlevered yield after the financing, the returns are in line with what we've always targeted.
Doug Harter: And just, Scott, if you could just remind me, as kind of what, what those levered returns are - that range you're targeting today is?
Stuart Rothstein: I mean, I think we've always thought about 11% plus, Doug. I think we were fortunate enough to have some years where we could overachieve that, but for the 12 years of existence at ARI, we've always thought in terms of levered ROEs is call it plus or minus 11%.
Doug Harter: And while there's - might be different than the asset yield and the funding, is that pretty consistent across the US and Europe?
Stuart Rothstein: Yeah, I think, look, as I indicated in my comments, it's a little better in Europe, but net-net, if you look at what we're expecting to do in the fourth quarter, I think you'll see us achieve those types of returns both domestically, as well as internationally.
Operator: Our next question comes from Tim Hayes with BTIG.
Tim Hayes: My first question just about the broader Apollo parent recently announced its goal to reach a trillion in AUM by 2026 and I'm just curious where you think Real Estate credit fits into that initiative and do you expect five years now, we see the team and origination capacity has materially increased and does that mean that ARI has also gotten bigger, just curious, how you think ARI fits into that broader initiative?
Stuart Rothstein: Yes, look it's certainly unknown, what's going to happen in light of what markets afford opportunity, but I think it's fair to say, the real estate credit business broadly today at Apollo is roughly a $35 billion business, of which ARI represents about a quarter of that business. I think, we continue to feel optimistic about our ability to originate transactions broadly speaking across ARI and other places that we originate for. The real estate credit team is on pace for a record year, just in terms of sheer transaction volume and hopefully my comments got the point across to people on this call that we don't spend a lot of time thinking about quarters and by the time, we get to the end of the year for ARI, I think we're going to be very much in line with sort of pre-pandemic origination levels on behalf of ARI. So I think, there is continued support for the real estate credit platform. It happens to work very well in combination between both ARI and what we do for our insurance - affiliated insurance company balance sheet and what expectation is for continued growth from this point forward, but obviously subject to what goes on in the market.
Tim Hayes: And then can you expand, you kind of gave a little bit of color just on New York City office trends and maybe you could expand there. I feel like headlines these days are mixed with false positive and negative trends, so I appreciate hearing more about the fundamentals of assets underlying your specific loan portfolio or that anything from the equity team, you can share or just any other observations you have as it relates to New York City office. Thanks.
Stuart Rothstein: Yes. Let me - it's - I'm giving you the perspective both as a - what we've done for ARI as a lender, but also what we're doing as a firm, as a tenant that continues to be committed to New York office space. I think what we're finding anecdotally is that there continues to be strong foot traffic and a healthy level of interest for newly created or recently renovated product and obviously given what ARI does as a lender, we're typically lending in situations where the real estate is being upgraded and improved. There is clearly a desire for those that are interested in New York office space to focus on what has been most newly created and what is most current in terms of finishes, standards, systems, et cetera. So have definitely been encouraged by that across our transitional portfolio and I think it can work more fully, I think as you get to older product, more commoditized product, you are definitely seeing more in the way of sublease space and more in the way of product languishing because I think, it's not uncommon, as we've seen - as I've seen in my career through multiple cycles. When there is a little bit of softness in the market, it affords those who are looking to lease the ability to look at newer space that they didn't think they might be able to afford previously. So I think, there is more - continued bias towards high end, newly created space and I think, commoditized space will continue to struggle.
Tim Hayes: I feel like that's pretty consistent with what we've been hearing from some of your peers as well, so I appreciate those insights. And just kind of a follow-up on the office and this is more in the CMBS market. But I recently read a stat that there is about kind of like $35 billion or so of CMBS or office loans within CMBS that are scheduled to mature between over the next, call it three years or so and a decent portion of that has 25% or more of their tenant role expiring over that time frame. So I'm just curious going into potentially higher rate environment, with the notable headwinds to certain office loans, do you think that that creates any disturbance in the CMBS market or has the potential to creating disturbance and then on the other side, does that create opportunities for transitional lenders if some of these loans can be refinanced?
Stuart Rothstein: No, I think it's a great question. I think it's probably too early to know what the net result is going to be. I think what, what we need to factor into all of that is just the share amount of capital that is continuing to seek opportunity and that and the things sort of never get to the point where it creates, as your question, I think implied real distressed and real opportunity, probably too early to know. I also - your question was premised on the notion of a higher rate environment and for some of us that are really old like myself, it's hard to believe that we're sitting here with the tenure at 164 and it might go to two and all of a sudden that defines a high rate environment. And so.
Tim Hayes: Yes.
Stuart Rothstein: I think, look, I think a lot can happen in three years. I think as I indicated in my comments, I think, there is a path towards continued improvement, steady improvement and not a lot of distress. I think if the economy continues along its gently sloping upward trend in terms of recovery but we like you, as I think was implied by your question, we do keep a close eye on what the implications of inflation and a higher rate environment might be on the economic recovery over the next one to two years, so I think, it's too early to have any real sense of conviction at this point.
Operator: Our next question comes from Stephen Laws with Raymond James.
Stephen Laws: Stuart, now we've got a quarter on the hotel and the REO. Maybe I wanted to touch on that, kind of how are trends going with the asset and then when I think about the operating expenses, how should I think about fixed versus variable expenses, as - as things improve with the asset?
Stuart Rothstein: I mean, I think, look. I think to your point, we're only a month into the - our quarter into this, but we obviously know the asset extremely well given our history with it. I think our - I think we've done as an effective a job as we can in terms of cutting expenses at the asset and I'm not sure there's much more to cut there. I think before the, I'll call it the Delta uprising over the summer, the asset was actually on a nice path to recovery from a revenue perspective. I think, we feel optimistic that there is more improvement to come on the revenue side as opposed to the expense side, as we move forward in future quarters and I also think as DC begins to open up on a go-forward basis. I think there might be a path towards a exit at some point before the asset gets to call it full stabilization from a performance perspective, because I think, there are those on the capital side that would be - what would be interested in acquiring an asset such as this to ride the upside and from our perspective, we'd rather turn the capital into a performing asset sooner rather than later if we could.
Stephen Laws: I appreciate the update and switching to the Brooklyn multifamily, I know it looks like the maturity is December of this year. I think you also recently reduced your specific CECL allowance, so given, it looks like the Qs has a more favorable market outlook. So can you maybe give us an update on that Brooklyn asset and how you think that plays out in the coming months?
Stuart Rothstein: Yes, so we've formed a partnership with a well-known real estate developer known as the Witkoff companies. We are going forward in partnership with them, in creating what will be a plus or minus 50 story multifamily tower, a combination of market rate and affordable units. Effectively the demolition of this legacy assets has been completed, we would expect to do foundation work sometime early next year. This will ultimately be a two year build, a one year lease up. So you're really looking about like a three year development project that will take us into 2024, though, I do think sometime during next year, we will put construction financing in place. I think there is, given the strength of Brooklyn, given the strength of the New York multifamily market recently, I think there is potential for real upside to ARI economically if we execute correctly, but this is a two to three year project with construction risk, lease up risk. So we need to execute well, but I like where we sit today, looking forward in terms of what the potential is in terms of economic recovery and benefit to ARI.
Stephen Laws: Switching to the leverage side and now prepayments have been little elevated, but you cited I think roughly $900 million of fundings expected this quarter. As we move out of this kind of some turnover in the portfolio and a shift to really to more of a focus on first mortgages, leverage I think was 2.2 at the end of the quarter, where - what is the target for kind of a higher mix of senior loans out in 6 or 12 months of where you think you would like to run the portfolio from a leverage standpoint?
Stuart Rothstein: Yes, I think if - as we think about asset specific leverage combined with wanting to maintain access to the various capital markets that we've been able to access in terms of the bond market, the convertible notes market, the term loan market and also I think coming out of the pandemic very convinced that it is a prudent corporate finance strategy to keep some portfolio of unencumbered assets on the balance sheet. I think at the end of the day, when you sort of factor that all in, I think we probably run this business at somewhere between 2.5 to 2 and 3 quarters turns of leverage on a sort of steady state basis.
Stephen Laws: Right. Appreciate the color - comment Stuart. And just in closing, Jai, good luck in the future. I've enjoyed working with you and appreciate your insight over the years.
Jai Agarwal: Thank you.
Operator: Our next question comes from Jade Rahmani with KBW.
Sarah Obaidi: This is Sarah Obaidi on for Jade. My first question is what drove the sequential decrease in income from subordinate loan? Is that related to the subordinate loans that is held for sale and can you give any color on that asset?
Stuart Rothstein: Yes, I think what's driving the decrease in income on subordinate loans is both just a shrinking of our mezzanine loan portfolio in general and then I'd also refer you to the comments in the 10-Q around a portion of the mezzanine loan on what we refer to as the Steinway project, where we've also taken some action there.
Sarah Obaidi: Okay. And my next question is, do you expect further provision recovery?
Stuart Rothstein: In general, I think again, the comments I just made to Stephen on the Fulton Street asset in Brooklyn leaves me optimistic about around that asset. Though I think there's a lot of execution work to go. I think the provisions we've got today, I think are appropriately reflective of the mix between our perception of value execution risk and path to resolution. That being said, I think sitting here today, I think both the Brooklyn asset and the Miami asset offer the best potential prospects for additional economic recovery. But I think, they both entail a lot of execution risk, complexity and time and I think, until we have more visibility there, I wouldn't expect any near-term change.
Sarah Obaidi: And were there any significant loan modifications during the quarter?
Stuart Rothstein: None, no.
Jai Agarwal: None.
Sarah Obaidi: Okay. And just lastly, has distributable EPS reached a stabilized level at $0.35 or is there still excess earning?
Stuart Rothstein: Look, I think the EPS, which we out earned, the dividend level which we out earned in the first 2 quarters, I think we covered it in the third quarter. I think part of it depends on how capital efficient we are and doing the best we can to line up the combination of both repayments and new deployment, which is always a bit of a challenge in a market that is not a publicly traded market but a market that is based on private origination and timing is a little bit out of our control. I think there is also - part of it depends on how quickly, we were able to reach resolution on some of the focus assets that are not generating a stabilized level of income or return today. So I think long term, I think there is potential beyond the $0.35. But I think in the near term, we've got some challenges both in terms of capital efficiency and focused assets that we need to work through.
Operator:  Our next question comes from Rich Shane with JPMorgan.
Rich Shane: Thank you for taking my questions and Jai, thank you for all of your help over the years, we will miss you. Stuart, you talked about the competitive pressures and how that is impacting spread and frankly that makes a great deal of sense given both the technical factors, we're seeing in terms of interest rates in the supply of capital in the space. I'm curious if you are seeing the same type of erosion in terms of structure in any way whether it's covenants or business plans that you think are more aggressive. I'm just curious because it sounds in some ways like you're a little bit more cautious but recognizing what's going on competitively in the market from a pricing perspective?
Stuart Rothstein: No, look I would say at a high level and in a good way and I always go back to '06, '07 as my touch point, I think in a good way. You're not seeing sloppiness on any sort of measurable level just yet. And I think that's a good thing. I think documents or documents, I think structures or structures, I think to the extent people want to compete on a different view of underwriting, a different view of pricing. I think that's fine. And I think that's a reasoned way to compete on any given day, but I think as of sitting here today, I don't think we've seen any noticeable weakening in overall approach to the market amongst the peer set or their competitive set. I think the one thing we continue to watch very closely is obviously the growth in the CRE, CLO market which I think some of you have heard me talk about for 12 years now, it is something that is potentially cause for concern and maybe that's a little bit of PTSD coming out of 2008. But I also want to be very clear that to the extent our competitors who are committed balance sheet lenders just at a moment in time choose to finance their balance sheet through a CLO structure versus some sort of other type of financing structure. I don't think that concerns me at all, I think that is a moment in time corporate finance decision. I think what we try and track as closely as we can and what would be the real concern for us at some point in the future if it became truly prevalent is those who enter the securitization market at a moment's notice just because they want to originate to securitize and have no intention of being a long-term committed balance sheet lender. We really again haven't seen that in scale yet, but again the types of things that I look at, that you probably look at as you think about a potential overall wakening in the market, those are the types of things we think about.
Rich Shane: That's very helpful. And to the extent that now that the portfolio is 40% in Europe, you had mentioned that the competitive landscape in Europe is - there is less competition in Europe, I miss - clearly that impacts pricing, I am curious if you think you also get better structure, lower potential credit risk because of the reduced competitive intensity in Europe.
Stuart Rothstein: Again maybe on the margin. And just to make sure I put my comments in context, less competition doesn't mean no competition. Right. So there is still plenty of people that we compete against. I think, on par, we've been able to a, win some large mandates on our own, but also I think our team in Europe has done a fantastic job of partnering with others to win large mandates and has effectively also done a great job of winning repeat business with equity sponsorship that seems to value working with us and I think, where we can differentiate on structure, Rich and this might be a - a bit of an esoteric point, but it's not necessarily on better structures that are much tighter for us in terms of protecting a lender. But when you think about the different regions within Europe and the different countries in Europe, and as I've said many times like Europe is not really a thing, it's just a continent, where a bunch of different countries reside. I think we've proven our work as a lender and our team has done a fantastic job of figuring out how to make structures work for us in the countries in which we lend in. And I think, we've made that process, very effective and efficient for the borrower and I think, they like doing business with folks who are able to make their life easy in terms of getting things to the finish line.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Stuart Rothstein for closing remarks.
Stuart Rothstein: Thank you very much, operator and as always, thank you to everybody for participating.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.